Operator: Good afternoon. My name is Matthew, and I will be your conference operator today. At this time, I would like to welcome everyone to the Third Quarter 2013 Earnings Conference Call. [Operator Instructions] I will now turn the call over to our host, Ms. Willa McManmon. Ms. McManmon, you may begin.
Willa McManmon: Thank you. Good afternoon. I'm here today with Steve Berglund, our CEO; and Julie Shepard, our Interim CFO. Before we begin, I'd like to remind you that the forward looking statements made in today's call and the subsequent Q&A period are subject to risks and uncertainties. Trimble's actual results may differ materially from those currently anticipated due to a number of factors detailed in the company's Form 10-Ks and 10-Qs or other documents filed with the Securities and Exchange Commission. During this call, we will refer to a press release. The press release and additional financial statements are posted on our website at www.trimble.com. The non-GAAP measures discussed in the call are reconciled to GAAP measures in the tables to our press release. Before I turn the call over to Steve, I want to remind you that Trimble Management will be presenting at the Baird Conference in Chicago next week and the Wells Fargo Conference in New York the week of November 11. Let me now turn the call over to Steve.
Steven W. Berglund: Good afternoon. The issues that impacted us in the first 6 months of the year remained with us in the third quarter, albeit more emerging signs of encouragement for 2014. The constraints continue to revolve around very inconsistent market conditions in multiple regions, deferrals of investment due to continuing economic uncertainty and heightened confusion around government funding sources, particularly in the U.S. The points of improving momentum in the quarter were the continued strengthening of residential and commercial construction in the U.S. The return of growth to survey instruments and better insight into the agricultural market, which enables an expectation of double-digit growth in that business in 2014. Although the 2014 environment remains ambiguous and challenging to predict, these and other effects lead us to expect a step up in Trimble's organic growth in 2014 from the level we saw in 2013 without any material help from the economy. With the probable contribution of acquisitions to revenue, the combined effect should enable us to report a higher growth rate than the 10.5% to 11% of 2013. Revenue growth of 10% to $556.5 million was consistent with our expectations, although it was at the lower end of that range. Although the growth rate remains below our historical secular trend, the year-to-year comparison for the quarter was particularly challenging given 2 large discrete orders in GIS and mining in the third quarter last year that had no comparable analog this year. The quality of our financial model also continued its progression in the quarter with non-GAAP gross margin of 56.9%, which is up 1.5 points from the third quarter in 2012. This trend in gross margin reflects a continuing structural shift from the increasing value content being provided by bundles of hardware, software and services. This led to a quarterly non-GAAP operating margin of 21.2%. The non-GAAP operating expense level was at 35.6% of revenue, with the increase entirely due to the impact of recent acquisitions. As we have discussed in prior calls, longer term, we are working to bank the higher gross margins and to work expenses as a percentage of revenue down to historical levels, providing operating margin lift. While we expect the fourth quarter to mimic the third quarter, our revenue guidance range for the quarter, which Julie will discuss, is broader than our historical standard. The wider range results from the generally greater uncertainty in our revenue forecast as we introduce larger contracts into the mix. Many of these contracts in isolation have the potential of pushing us outside our traditional narrow range if we miss performance commitments by a few days as revenue recognition accounting rules cause a reinterpretation of the precise schedule of when the revenue associated with a contract is recognized. In the fourth quarter, we have 3 examples of this uncertainty. All have the possibility of falling in either the fourth or the first quarter. Together, their effect is meaningful. One relates to whether, in the judgment of the customer, we have met the acceptance criteria for a large contract by the end of the quarter. The second is centered on when we will be able to recognize the first revenue on the multiyear $63 million to $99 million contract with the Marines and Army, which was announced in August. In this case, the U.S. government shutdown has delayed the timetable on implementation, and it is unclear whether we will be able to recover the schedule before the fourth quarter ends. The third issue is dependent on specific customer meeting certain criteria, which would allow us to move a discrete item out of the deferred revenue balance into revenue during the quarter. More generally, we continue to be negatively impacted by the U.S. budgetary crisis. In reality, the environment has worsened since the beginning of the year. During the first half of the year, we expected the sequester effects would be institutionalized in the new budget year, which began October 1. This would have produced relative certainty even if they had to lower expenditure level. Instead, the shutdown and inability to achieve resolution has increased both skepticism and uncertainty in our relevant markets. Although our direct exposure to U.S. government spending remains comparatively small, the indirect effects are significant and becoming more apparent to us. The 3 Trimble product categories that are most affected are survey instruments and heavy civil in the E&C segment and GIS in the Field Solutions segment. Heavy civil is currently being affected by the paralysis in addressing the inadequate federal funding of highway infrastructure construction. Survey instrument and GIS sales heavily depend directly or indirectly on funding from all levels of government. In many cases, even if the apparent funding for our users is coming from the municipal, county or state agencies, a large portion of that funding is ultimately derived from federal sources. The uncertainty relating to the availability and level of future funding has had a widespread chilling effect on the willingness of our users to seriously commit to new projects. GIS is the product category most affected financially, and it is down sharply year-to-year. The relative good news is that despite the imposed constraints, both heavy civil and survey instruments are growing in the U.S, with survey instruments growing double digits in the third quarter. The picture across the regions remains inconsistent and volatile. European sales for the quarter were up approximately 13% year-to-year, with the strongest push coming from agriculture. North America was up over 18% year-to-year, reflecting improvements in the residential and commercial construction market, acquisitions and revived growth in survey instruments. The rest of the world was down, reflecting a general sideways trend in some markets, such as Brazil and China, and recession in other markets, most notably Australia. In recent years, these markets have been relative mainstays for us. And the recent effects on portfolio performance has impacted us negatively in the short term. Directionally, we are looking for improved organic performance in 2014. While the number of moving parts make it difficult to precisely quantify an outlook, we believe we are currently in a transition zone, which leads to an improved baseline for 2014. The outlook is based on a number of discrete perspectives. In E&C, survey instruments have returned to growth, and we expect this to continue into 2014. Part of the lift is coming from an improving survey product portfolio. For the product categories we refer to as building construction, our growth expectation is supported by the trend in U.S. residential and commercial construction, new product introductions and the growing attractiveness of our increasingly integrated product capability to major construction accounts. While our current judgment of growth possibilities in heavy civil remain conservative given worldwide infrastructures spending levels, we currently expect growth levels no worse than 2013 with logical arguments that they might further improve based on new product categories and a developing distribution channel. In Field Solutions, we expect the agricultural revenue to grow at a double-digit rate, partly driven by the expansion of the number of new product categories and a higher rate of new product introductions. Our admittedly conservative view on GIS is that our dismal performance will bottom out in the fourth quarter. And starting in the first quarter, it will cease to be a notable pain point as we lap the 2013 performance. Mobile Solutions reported results will look different -- significantly different in 2014 as the acquisition effects of 2013 disappear, and we will trend towards something closer to the organic baseline. We believe that the financial model will continue to improve, resulting in higher operating margins. Overall, the view is that these effects will enable the step up in organic growth with an enhancement from acquisition effects. Finally, our CFO search has been methodical and extensive with a rich field of candidates. We are in the final stages of the search, and there should be news in the near future. Let me turn the call over to Julie Shepard, our Interim CFO. During this interim period, Julie's competency and commitment has provided us with the ability to conduct a careful and methodical search without a sense of urgency to fill a void. Julie?
Julie A. Shepard: Great. Thanks, Steve. Good afternoon, everyone. I'll be covering non-GAAP numbers today. The GAAP numbers as well as the reconciliation from GAAP to non-GAAP numbers are detailed in our earnings press release, along with the financial data by segment. In today's call, I will be covering other relevant quarterly data in discussing guidance for the fourth quarter of 2013. Overall revenue was $556.5 million, up 10%. By geography in the third quarter, 56% of revenue came from North America, 22% from Europe, 14% from Asia-Pacific and 8% from the rest of the world. Company non-GAAP gross margin was 56.9%, up 1.5 points over the prior year, due primarily to greater contributions from higher margin software, maintenance and subscription revenue. In the third quarter, non-GAAP operating expense was $198.3 million or 35.6% of revenue. This was up as compared to $174.4 million or 34.6% of revenue in the third quarter of 2012, primarily due to acquisitions. Third quarter non-GAAP operating income was $118.2 million or 21.2% of revenue as compared to $105.3 million or 20.9% of revenue in the third quarter of 2012. Non-GAAP nonoperating income was $497,000, down as compared to $3 million in the third quarter of 2012, primarily because of lower profitability from equity investments. In the third quarter of fiscal 2013, the company's effective tax rate was 14% as compared to 19% in the third quarter of 2012, primarily due to the geographical mix of pretax income, the reinstatement of the federal R&D tax credit, as well as the discrete items. Non-GAAP net income of $101.9 million was up 17% as compared to the third quarter of 2012. Diluted non-GAAP earnings per share was $0.39 compared with diluted non-GAAP earnings per share of $0.34 in the third quarter of 2012. We finished the quarter with $115.3 million in cash and $809.1 million in debt on a multiple of 1.7x trailing 12-month adjusted EBITDA. We paid down $90.1 million of debt in the quarter. Net debt was $687.1 million this quarter as compared to a high of $776.9 million at the end of the first quarter of 2013. Cash flow from operations was $106.4 million for the quarter. Accounts receivable was $361.6 million and days sales outstanding was 59 days as compared to 56 days in the second quarter of 2013, due to the nonlinearity of sales and up slightly as compared to 58 days in the year-ago quarter. Inventory in the third quarter of 2013 was $241.5 million as compared to $258.7 million in the second quarter of 2013. Turning now to our guidance for the fourth quarter of 2013. We expect revenue between $560 million and $580 million, with GAAP earnings per share of $0.17 to $0.21 and non-GAAP earnings per share of $0.35 to $0.39. Non-GAAP guidance excludes the amortization of intangibles of $42 million related to previous acquisitions, anticipated acquisition cost of $3.5 million and the anticipated impact of stock-based compensation expense of $10.5 million. Both GAAP and non-GAAP earnings per share assume a 16% to 18% tax rate and 261.5 million shares outstanding. It should be noted that the fourth quarter 2013 guidance includes expenses related to several trade shows and a technology conference, which were not included in third quarter expenses. Have a safe Halloween everyone. And with that, we will now take questions.
Operator: [Operator Instructions] And our first question comes from the line of Michael Cox.
Michael E. Cox - Piper Jaffray Companies, Research Division: My first question is, as it relates to your guidance for the fourth quarter, you noted the 3 discrete items that could shift from Q4 into Q1. I just wanted to have a better understanding of how, if all 3 were to hit, would that be the upper bound of for your revenue guidance? And if all 3 were to shift to Q1, so that would be the lower bound? Is that the way to think about it?
Steven W. Berglund: Yes, the arithmetic doesn't quite work out that way, but I think that's probably the right way to think about it, plus or minus a few million. But I think that's probably the appropriate way to think about it.
Michael E. Cox - Piper Jaffray Companies, Research Division: Okay. And then on the -- the service and subscription revenue contribution jumped up a couple of hundred basis points versus where you'd been trending the last 3 quarters. I'd be interested if you could comment on which segment drove that sequential increase? And is this 28% of sales level that we should expect going forward or if not higher?
Steven W. Berglund: Yes, so I'll probably be a bit more general than that, because I don't want to get into the mode of kind of tracking. It's a fairly volatile number at the segment level, but I think directionally, longer term that's the general trend of the company. And I would say that, okay, again, not necessarily speaking directly to the third quarter, I would say, obviously, Mobile Solutions is heavily already in that mix. But then, E&C has already moved into that direction. If you look at both the acquisitions and then our general strategy in E&C, it will also trend there. But I think that agriculture in particular, which is really not that heavy in that realm at this point in time, will over the next couple of years start to shift in that direction more aggressively, as well as we work out the elements of the Connected Farm, which is very much software focused, but increasingly will be service-focused as well. So I would -- so by inference, the answer is kind of E&C and Mobile Solutions.
Michael E. Cox - Piper Jaffray Companies, Research Division: Okay, that's helpful. And one last question on the ag side there. The commentary around double-digit growth in ag is, it's certainly more bullish than what the large iron machinery guys are talking about or at least sort of intimating in terms of what their orders look like. And I'd be curious what sort of visibility you have or what gives you the confidence that you'll return to double-digit growth in ag?
Steven W. Berglund: Yes, so I think there are a few factors with some variability around the kind of point estimates for 2013. But I think directionally, yes, we are more bullish. So one is just new product introductions. So the last year, there have been, let's call it, not that many new product introductions from us into the marketplace. That rate is expected to increase. And that tends to tick -- carry a lifting factor on its own. And then in kind of the same vein, but definitionally different is new product categories. So for example, a few months ago now or 2 or 3 months ago, we announced a couple of very small acquisitions to put us into the irrigation space. The idea there is that we can plug what must be a -- that solution into our larger distribution channel, and that we should get a fair amount of lift from an entirely new product category. There are other examples, but I would say that's the most interesting one, which is adding just a product category that has not historically been in Trimble and engaging our distribution channel. And there should be a lift factor there. And part of it, I guess the third factor is that in kind of more of a competitive realm is we think that we have -- in terms of our approach, we think that our approach to solving the problem in the field is differentially better than competition. So we would expect that there will be some replacement in the field of some elements that have been factory-fitted by others in the last year or so. We think that there's a competitive advantage. So all of those added together gives us a reasonably strong view that it will be double digits, being a little vague in terms of just what those digits might be. But I think we're pretty secure in the belief that over the course of the year that it will be 2 digits.
Operator: And our next question comes from the line of Eli Lustgarten.
Eli S. Lustgarten - Longbow Research LLC: One technical question, one. In the -- the 14% tax rate was obviously lower than the guidance we expected. And you said there was some discrete items. Is there something that we should know about? That was a couple of million dollars of discrete items. So what caused the 14% tax rate?
Julie A. Shepard: Yes. So the 14% tax rate was a geographical mix, but that was part of it. The other part is, there was not an R&D tax credit last year. It was reinstated this year. And then we just had one item where we had a statute expire, and we're able to release what's called a income tax reserve.
Eli S. Lustgarten - Longbow Research LLC: How big was that? Is it negligible? Or is it meaningful? That's really the question.
Steven W. Berglund: It was meaningful.
Eli S. Lustgarten - Longbow Research LLC: Was it a couple of million dollars? Is that -- you beat...
Steven W. Berglund: Eli, let's just leave it as meaningful.
Eli S. Lustgarten - Longbow Research LLC: So I mean, can we attribute the quarterly beat versus all the estimates to the tax base is really what I'm asking.
Steven W. Berglund: No. It was more complicated than that. Yes. So it was meaningful but not dominating.
Eli S. Lustgarten - Longbow Research LLC: Okay. Advanced Devices, I'm going up in questions, again, keeps surprising at much stronger numbers. Is this earnings rate sustainable? Does it fall back to more normal rates? Are we seeing a fairly high level of profitability in income per quarter?
Steven W. Berglund: Yes, so I think if we are to look at it over a multiyear kind of baseline, this would be higher performance than I would generally expect, particularly on the earnings side. Now having said that, if you look at the elements of Advanced Devices, some don't have necessarily a whole lot of dynamics associated with them, such as our timing business or our embedded board business. But then you look to -- also in this segment is our RFID segment. It's the ThingMagic acquisition we did a few years ago. They are getting some traction, both in the kind of, let's call it merchant market out there selling RFID solutions to companies that have generally kind of tracking challenges. But then I think what we're seeing is traction within Trimble. So for example, tracking assets on a construction site, probably being the easiest one to explain. So I would say that, if there is going to be a lift in that segment over the next year or 2, it will be probably more likely driven from this RFID capability that appears to be getting true traction at this point in time. So I would say, probably not a whole lot of, let's call it, upside potential out of the segment, but then caveating that with the RFID capability, which is -- that's got a fair amount of potential, but probably over a 2-year period, not next quarter.
Eli S. Lustgarten - Longbow Research LLC: But the current level is sustainable? I mean, that's really what I'm more driving at.
Steven W. Berglund: Again, I think the point would be I wouldn't count on this level of relative performance out of the segment. I think we're probably above the deliverable baseline. So I would have -- it'll be volatile by the nature of it, but I wouldn't necessarily put this exact performance into next quarter.
Eli S. Lustgarten - Longbow Research LLC: Okay. And now as we talk about the Field Solutions. The ag business, you talked double digit. And I think you were talking about the stability hopefully by the end of the year in GIS. So I guess you're assuming the double digit in ag next year and we'd have GIS relatively flattish next year is your best kind of assumption that we're looking at?
Steven W. Berglund: That is the assumption we're looking at. GIS, which is very, very exposed to government funding has just had a terrible year. Historically, we've never had a need to talk to GIS. It's been a business that probably we characterized as kind of single-digit growth levels, but very high operating margins. And this year, we've had the unfortunate experience of having to talk about GIS as part of the explanation of the company. Again, we lap ourselves in the -- starting in the first quarter. Management believes they're going to grow the business next year. They're quite committed to the idea of growing the business. I'm simply saying our kind of current expectations are flat, at least removes them as a pain point for the company. So yes, but your formulation is the right one at the moment.
Eli S. Lustgarten - Longbow Research LLC: And you said the current level of profitability we're seeing, there's some seasonality to it, would not -- would be more representative than the prior levels of profitability, the higher levels, until GIS gets some legs under it?
Steven W. Berglund: The operating margins of ag and GIS are relatively similar to each other. So yes, so GIS has brought it down some this year, but it's -- I would say the operating margins last quarter and this quarter are probably kind of relatively indicative of what we see next year. Ag has been a pretty strong comp and GIS has drifted down some.
Eli S. Lustgarten - Longbow Research LLC: Yes, well talk a bit about the ag business. You have your approach to the market. Deere is now playing games. And now Monsanto has gone out and bought a company, and they want to play in the same kind of market. Can you give us some color as to how you see the market shaping up? Because you seem to be by far the strongest company as we go into data movement in the ag business, but I just wanted to get how you're viewing what Deere and Monsanto seem to be want to play at?
Steven W. Berglund: Yes, so again, until recently with Monsanto becoming -- assuming a different profile in the industry, the competitive set has really been constant for 10 years. There've been few, if any, real entrants into the business. There have been actually a couple of departures. But I would say Deere, from a competitive mix, is nothing new. Monsanto is, if you will, the new entrant. But I don't think they have yet become, let's call it, a force in the marketplace. And then I think there are larger themes that play out over the next few years in agriculture that kind of extend beyond kind of the current product mix and the like. So I think it's quite an interesting story playing out over the next 3 or 4 years, which involves much more service, much more information content, much more of an advisory role to the farmer. I'll just indicate that it's -- that market is forming up. You can see us responding to that changing market with some of the acquisitions we've done and in some of the acquisitions that are likely to happen. But in the next year, I would not expect, let's call it, step function changes competitively. I think it plays out over multiple years.
Operator: And our next question comes from the line of Richard Eastman.
Richard C. Eastman - Robert W. Baird & Co. Incorporated, Research Division: Steve, could you just maybe address the margin? The improvement in E&C sequentially on roughly the same revenue number? Is that a mix issue?
Steven W. Berglund: Yes, it would be -- again, we tend to be pretty hardwired into looking year-to-year more so than sequentially, simply because there are some seasonal effects and event trade shows and such moving around. But I would say it would be, overall, the fact that survey came back relatively -- or at least in a relative sense fairly strongly, and brought with it generally high gross margins that translated into operating. And then I think if you look at it, what's happening in building and construction, or building construction, yes, we took out -- and this is at least a marginal effect. So if you look at -- we took a -- back in 2008 and 2009, we took a horrendous beating in that category. The market more or less disappeared. And some of our product categories, we saw a 40% or 50% drop simply because the market did disappear. We took our cost base down at that point in time, but we have our cost in place. So any kind of marginal revenue increase we get in that product category is going to have a tendency to move operating margin pretty strongly. And I think that's what's playing out at this point in time. So we're probably getting significant operating leverage on the boost we're getting in the building -- out of the residential and commercial space. But I would say those are probably the 2 primary effects that would be playing out in E&C at this point.
Richard C. Eastman - Robert W. Baird & Co. Incorporated, Research Division: I see. Okay. And then just a real quick question on mobile. If we take out an assumed acquisition contribution, was there much growth there? I mean, I basically end up at a point or 2 of core growth. Is that in the ballpark or is mobile a little bit stronger than that? And it strikes me that part of this revenue recognition issue that we could face in the fourth quarter dumps into Mobile Solutions. So was that a factor in this quarter in terms of core growth?
Steven W. Berglund: No. In terms of this quarter, actually, the 3 effects -- discrete effects in the fourth quarter are not mobile. I think you're low in terms of attributing a point or 2. It may turn out to be double -- or single-digit growth, but it's larger than that. And certainly, that's what we would expect in 2014. I think to boost the growth rate, the most easily identified factor in mobile against -- there's the general market is the fact that there's significant market still to be penetrated in the Mobile Solutions segment. There's always that in the backdrop. But I think the single most discrete opportunity available to us in the next 12 to 24 months comes out of the combination of TMW and PeopleNet and ALK in the transportational logistics realm, where TMW is something of the enterprise solution, PeopleNet is something of the mobile solution in that case. They share some customers. They do not share a lot of customers. And I think the view is that, as we integrate those 2 product lines more closely together, is there's the potential to, let's call it, cross-sell. TMW customers being exposed to PeopleNet and vice versa. I would say that's the single largest growth opportunity -- organic growth opportunity in the segment available to us in the next 12 to 24 months. There are others, but that may be the most significant opportunity. It'll take some time. But yes, but in answer to your question, I think you're low in terms of attributing just 1 point or 2 of growth -- organic growth in the mobile.
Operator: And our next question comes from the line of Jonathan Ho.
Jonathan Ho - William Blair & Company L.L.C., Research Division: Just wanted to understand a little bit more around the GIS business. Are you guys seeing anything that might be a little bit more of a structural impact as opposed to just sort of government budgets impacting the business? Especially around the device side of things, I just wanted to get a sense of if there's anything else that maybe has a second order effect besides government budgets?
Steven W. Berglund: Yes, it's a very fair question, honestly. And the question's basically, do cell phones start to move our traditional ruggedized devices out of the marketplace? I would say at the moment, that's a really good question, but in the context of a few years. And I think that we are very aware of it. And that increasingly, our whole business there will be, let's call it, device -- become more and more device agnostic. We've been looking hard at kind of the results for this year in terms of whether that structural shift is kind of really impacting the market at this point in time. And yes, around the edges, there is a tendency to use either cell phones or, let's call it, kind of low end -- what we would attribute as low end devices. And that accounts for a little bit of this drop. But by and large, this drop this year is just kind of no money being spent, not so much a market share or kind of a solutions share. And -- but again, a very fair question, but I'd say more in the context of 2 to 3 years out. And I think that we're architecting the business to anticipate that.
Jonathan Ho - William Blair & Company L.L.C., Research Division: Got it. So you've already shared also some color around sort of your confidence that ag can maybe grow on a double digit business next year. Can you talk maybe about why you see the rest of the business, outside of Field Solutions, showing an improvement in terms of growth rate even without a pickup in macro? I just wanted to maybe hear sort of the top factors that you're seeing to sort of support that re-acceleration?
Steven W. Berglund: Yes. So I think building construction is pretty much -- well, in the first instance, the first order effect is the fact that commercial and residential construction is showing a pulse rate these days, whereas for a few years it didn't show any pulse rate. So I think that drives that. Now in survey, I think earlier this year, I think we were attributing kind of flattish to even down sales to survey instruments. I would say that was the pertubation, and we're kind of returning to some level of normalcy in spite of government spending levels. If that got fixed, I think we'd see a significant upside. I think the theory on survey instruments is that, if you will, is the market has really never kind of found its feet if you talk to surveyors out doing work for construction companies or for government agencies or cadastral surveyors doing one thing or the other. I think the market has been comparatively muted really since the 2008 collapse. And so if you look at it, surveyors out there, practicing surveyors, are probably 2 or 3 generations behind from a technology standpoint. They've been making do with old technology. And the model here would be -- the market model here would be; that if they start to see any pickup in activity, they're going to start to look at, okay, either hiring another person, talking about a small survey services firm or putting in -- updating their technology, getting the productivity improvements and potentially avoiding hiring the person. That is, I think, the magic moment. I don't necessarily know that we're truly at that point yet, but I think some of those dynamics are starting to work is that there -- the industry is, I think, significantly behind overall in terms of applying technology, and we may be seeing that. And I'd say the other thing in survey is the fact that, for example, at our INTERGEO show with Germany earlier in October, we made a number of meaningful product introductions. In fact, we created a whole new category of product there. And I think our products will lift that. So heavy civil, we're basically kind of pegging as kind of steady as she goes kind of similar to 2013. Survey, we're looking for a step up. The building construction stuff, we're expecting a step up both because of the market and the fact that we got an increasingly attractive portfolio and can start selling in a way that we haven't had historically. Then there's ag. There's GIS, which we're assuming to be flat. And then mobile, we're basically kind of -- so yes, the reported numbers will -- growth rate will drop, but apparently maybe less of a drop than people are anticipating. So those are, I think, are the large drivers. So it's -- we're not naming a number. It's directional, but I think it's -- I think the facts support the directional guidance.
Operator: And our next question comes from the line of Andrea James.
Andrea James - Dougherty & Company LLC, Research Division: Can you guys give us an update on Trimble's optimal leverage as far as net debt? And when you think you'll stop adding to net debt? Or you'll be at that sort of maximum leverage?
Steven W. Berglund: Well, I think if you look at it as net debt in the quarter from the end of the second quarter to the end of the third quarter dropped by roughly 10%. So I think we may have passed our peak. I think, certainly, the debt level that we're at is very comfortable. There's no issue on coverage. I think we feel comfortable as a company looking at the capital structure with the capital structure that has a debt-to-equity ratio somewhere between 0.3 and 0.4. I think that's comparable in some sense to the comfort zone for us taking advantage of low interest rates and making sure our weighted average cost of capital is kind of in the right territory. So I think if we revert and I -- right now I would say is the default expectation of us, if we revert to the pattern of acquisition that we displayed really until a couple of years ago when circumstances caused us to make the decision to be a spectator or a participant as assets became available. If we revert to kind of the traditional pattern kind of over time is, we can handle -- we would expect to be able to handle that kind of acquisition load out of operating cash flow and probably continue to drift down from a net debt perspective. But it's not a matter of mantra for us. We're very much comfortable with where we are at this point in time. And I think we have the flexibility to kind of make the appropriate long-term decisions for the company that kind of levels that -- around where they are at this point in time.
Andrea James - Dougherty & Company LLC, Research Division: And then a follow-up. How do you define organic growth versus growth from acquisitions? And the only reason I'm asking, I guess, is because it seems that, particularly software acquisitions get integrated, and then in turn might drive legacy product sales, so I was just wondering how you guys break it out?
Steven W. Berglund: Well, that's actually the core point of this, and why on a quarterly basis we tend to be a little careful in terms of, let's call it, hard definitions of organic versus hard definitions of acquisition. And once a year, I guess the pattern is now kind of the January call, is to kind of give a 1-year perspective because that's exactly the issue. So just giving a practical example here, we made this -- well, I've already given one, which is TMW and PeopleNet. So TMW would kind of calculate out as an acquisition this year. But if PeopleNet goes out and sells TMW a product, is that organic or more acquisition? Is kind of a fuzzy category. But another example would be a few months ago we acquired Trade Services, which is a content company down in San Diego, okay? And the theory there is we tie that to the SketchUp three-dimensional warehouse and kind of significantly increase the value content of that. So as opposed to simply selling a content that consist of a manufacturer's part number, a description, maybe some other information that we open up the opportunity for the manufacturer to create a three-dimensional model of the object, put it in SketchUp's three-dimensional warehouse and then somebody using our BIM product reaches out, grabs that three-dimensional model and drops it into a BIM model. So technically, is that an acquisition-related revenue boost from Trade Services or is that Trimble taking that capability and applying it and is arguably organic? So it is a fuzzy boundary and -- which is why we've been a little reluctant to kind of create, on a quarterly basis anyway, hard definitions here that really -- where the definition is really kind of a fuzzy boundary sort of definition.
Andrea James - Dougherty & Company LLC, Research Division: I appreciate that. And just for next year, what was the organic versus acquisition? Knowing that it's hard, but I was just curious of what you thought the balance would be?
Steven W. Berglund: And on that one, I'm going to remain fuzzy at least until January.
Operator: [Operator Instructions] And our final question comes from the line of Rich Valera.
Richard Valera - Needham & Company, LLC, Research Division: Steve, I just want to follow-up on that organic versus inorganic for next year. Because as I understood it, I guess you went into this year thinking you had 5 points of inorganic growth kind of in hand with the TMW acquisition. So not having done a large acquisition this year, I would think that going into next year, you would have much less inorganic baked in. Is that a fair assumption?
Steven W. Berglund: Directionally, that's a fair assumption. But again, I'd kind of point back to this fuzzy boundary between organic and acquisition from a definitional standpoint. Case in point here, for example, would be this irrigation -- these small irrigation business we've bought. Okay. They've got a great product. They have not had distribution. So for example, we are counting on being able to plug that capability into our distribution. So whether that's acquisition or organic, from my point of view, it's organic, we may attribute it to being acquisition. But that will probably have a fair amount of upside potential. And yes, but directionally, you're right is that there are -- there will be less inorganic. As we see it at this point in time, in terms of what we have bankable for next year, there is less inorganic pop in 2014 than there was in 2013.
Richard Valera - Needham & Company, LLC, Research Division: I would think by several percentage points now? I mean, not to cut it too fine, but TMW was pretty significant and you had that sort of in the last part of last year, so.
Steven W. Berglund: Yes, so again, I'd say you're directionally right. I'm mum. I'm just trying to avoid pre-exposing myself until I have another quarter of experience here, but we're trying to convey directional content or information more so than a precise formulation at this point.
Richard Valera - Needham & Company, LLC, Research Division: And I guess, relatedly, just with the ag double-digit comment, you've acknowledged that the macro doesn't look so great in terms of unit sales. I mean, do you have some rough idea of what you're expecting for unit sales, if nothing else from, say, CNH your OEM partner?
Steven W. Berglund: Yes, I mean, so I think we're conveying the sense that it will -- there will be kind of unit volume growth in that realm. And I talked to product. I've talked to product category. I've talked to kind of competitive factors. I think the other one, now that you mentioned CNH, it's not going to be a huge -- probably a huge difference in 2014. But there -- we also have a number -- a fair number of possibilities with OEMs other than CNH as well. So I think that may play out over 2 or 3 years to the point where it starts to influence Trimble numbers. But the contract we've signed with CNH now a couple of years ago gave us more relative freedom to kind of go out and deal with the mix fleet problem in agriculture. And we're trying to leverage on that at this point in time. So it's -- I would say the argument for agriculture in terms of double digits doesn't rely so much on, let's call it, driving forces, driving market forces in terms of kind of aggregate agricultural data, but more 4 or 5 factors coming together that gives us, let's call it, a fair amount of faith that we can kind of restore the double-digit element of -- in agriculture.
Richard Valera - Needham & Company, LLC, Research Division: Despite the presumption of unit declines in tractor sales, not so much your unit declines, is that -- I mean [indiscernible].
Steven W. Berglund: Yes, again, I think it's not a foolproof argument on my part. But the market still tends to be heavily weighted to field sales or field aftermarket sales. And I think that particular -- there are other regions, so for example, we talked to the strong -- not for a couple of quarters, and relatively talked to the strong European numbers. So I think there's a penetration argument still out there and some of these markets still remain unpenetrated. And again, I think that we can still go and sell it into an installed base. So we're not -- we're influenced by new equipment sales, but we're not wholly defined by that. We have a fair amount of capability going into the aftermarket. And either upselling people for manual guidance to kind of full blown guidance or there has been -- or selling them new technology versus the old technology. So again, I think that we're influenced by new current sales, but we're not a captive of that particular statistic.
Richard Valera - Needham & Company, LLC, Research Division: Got it. And just wanted to get a sense on margins. [indiscernible] talked about an incremental operating margin target of 25%. It hasn't been brought up in a while, but I don't know if there's any reason why that should have changed. Is that a good target to think about when we look out in future years, 2014 perhaps and beyond?
Steven W. Berglund: Yes. I think there's no law of nature defining this. I think we have to go out and hustle. But I think over the next 2 or 3 years is certainly our internal drive, our management level point of focus is taking that higher gross margin that we're now enjoying, the 56% to 57% gross margin, and then start rationalizing the expenses, the items between gross margin and operating, working to keep R&D somewhere around 13% of revenue, but looking to the sales, marketing and G&A categories and saying, "Okay, how do we use scale here to actually improve our relative efficiency on that?" If you look at where we were pre-2008 in terms of that measure. We've been there before. I think we can regain it, not instantly. But I think it's more of that mechanism than simply putting a number out there or so. Not kind of committing to any number in the next year, but basically saying there is reason to expect us to improve. And if you do the arithmetic, improve by maybe 2 to 3 points of operating. So kind of from the current level of 20%, 21%, I guess, is the 24% operating margin within the set of future expectations at Trimble? It very well could be. Now at the same time, as we enter some product categories that carry with them a different model, I'm going to be changing my story a bit. But with this portfolio, yes, we probably have that sort of capability available to us if we worked hard.
Operator: And there are no further questions at this time.
Steven W. Berglund: Okay, good. So again, happy Halloween and talk to you next quarter.